Operator: Welcome to Century Casinos Q3 2014 earnings conference call. [Operator Instructions] I would like to introduce our host for today's call, Mr. Peter Hoetzinger. Mr. Hoetzinger, you may begin your conference.
Peter Hoetzinger: Thank you, Kelly. Good morning, and welcome everyone to Century Casinos earnings call, following the release of our third quarter 2014 results. With me on the call today are my Co-CEO and Chairman of the company, Erwin Haitzmann; and our Executive Vice President of Finance, Margaret Stapleton. Before we begin, I need to remind you that in our remarks today we will be discussing forward-looking information, which involves a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The company undertakes no obligation to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings and encourage you to review these filings. In addition, throughout our call, we may refer to several non-GAAP financial measures, including but not limited to adjusted EBITDA. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our news release and in the 10-K and 10-Q filings, all of which are available in the Investor section of our website at cnty.com. You all saw the results, it shows that in a challenging consumer environment, we managed to deliver tangible improvements at our properties in Edmonton, Calgary, Aruba as well as with our cruise ship casinos, while results in Central City and Poland were lagging behind. Aggressive cost controls have been put in place in Poland are beginning to show results, with preliminary numbers for October indicating the best-ever revenue and adjusted EBITDA. We are excited about our new project in Argentina, and also very pleased with the progress of construction of the Century Downs Racetrack and Casino in Calgary. The results of the referendum in Colorado turned out very good for us. The proposal to allow casinos outside the three historic mining towns of Cripple Creek, Central City and Black Hawk has been allowed to proceed and push the existing casino industry in Colorado in a stable footing for a foreseeable future. Our strongest performer in the third quarter yet again was the Century Casinos & Hotel in Edmonton. In local currency, Edmonton showed 6% revenue growth and a strong EBITDA margin of 37%. The growth was broad-based, everything from tables to slots, VLTs, hotel and S&P was up. This is our largest property with 762 gaming machines and 35 gaming tables in operation. During the quarter, two electronic roulette terminals has been installed and a new restaurant menu has been launched with updated items and pricing. For the end of the year, bookings are going very well for live entertainment acts and private banquet and catering events. Our second property in Canada, the Century Casino Calgary also had a good quarter, improved net operating revenue by 12% in local currency. EBITDA even increased fivefold. The main growth drivers were the table games, especially Baccarat. Non-gaming revenue, consisting of S&P and bowling, were up 9%. We continue to focus on growing table games revenue and continue to market the two showrooms to third-party promoters and to companies for dinners, functions and conferences. In Colorado, net operating revenues of the Century Casinos & Hotel in Central City and Century Casinos & Hotel in Cripple Creek were down 11% and 3%, respectively, which is similar to many other regional U.S. gaming markets. It is a slight improvement compared to the previous declines, still down year-over-year, but it's just nice to see that the negative number is less than what it was before. I wouldn't say that we have bottomed out, but we are at least seeing some improvement. In Cripple Creek, adjusted EBITDA actually increased by 8%. The results in Central City were impacted negatively by a massive rock slide, which closed the Central City parkway, which is the main access road from I-70, during all week days between mid-August and mid-October. And in Cripple Creek, Bennett Avenue, which is the main road to where all the casinos are was closed often on during the quarter due to construction. The Colorado gaming market remains very competitive with most properties using free-play, heavy coin market players, weekend cash giveaways and other specials to drive player traffic. Congratulations to our staff in Central City, our Century Casino in Central City has been voted best casino in Denver for the third year in a row, against major competition from the large properties in Black Hawk, [indiscernible] and a strong demonstration of our great approach to guest service and creating a fine atmosphere. And as I mentioned, we are pleased with the results of the referendum, which has been soundly defeated and casinos continue to be limited to Cripple Creek, Central City and Black Hawk. The revenue generated by the cruise ship casinos and in Aruba increased 20% year-over-year. Adjusted EBITDA grew 49%. Recently, we added another ship to our portfolio the Mein Schiff 4, which will commence operations in June next year, catering to the German market. Revenues at our casinos in Poland were down 7%, mainly due to lower table play. How much the political crisis in the neighboring Ukraine has to do with the decline is hard to say. We also had higher marketing expenses compared to last year, all of which led to a disappointing EBITDA result. On the bright side, slot play actually increased by 25%. Slot revenues are growing constantly and we expect further increases due to traditional and more high-quality machines on the gaming floors. In addition, we started the introduction of a player loyalty program for our slot machine customers at the Marriott Casino in Warsaw, and will continue to rollout that program into other casinos in the coming quarters. Remember, in about one year all remaining slot arcades and slots operating outside of licensed casinos have to close, which should give our slot operations a further boost and we will be ready for it. The overall market remains challenging and the competitive environment remains difficult in Poland, but we are controlling costs and have reduced payroll and other operating cost significantly. Those reductions are beginning to positively impact results. As mentioned earlier, Casinos Poland recorded its highest gaming revenue ever in October and the EBITDA margin for October comes out at 19%. Following this preview of current operations, let me give you a quick update about our new project. For the Century Downs Racetrack and Casino project in Calgary, we have spent approximately $15 million so far. Total project costs are expected to come in at or slightly below the $25.5 million, number I mentioned previously. The opening is scheduled for the end of March next year. You can actually follow construction progress on our website at cnty.com. Century Downs will be the only horserace track in Calgary, including a casino with 550 slots as well as F&B and off-track betting facilities. The location is great, adjacent to the successful CrossIron Mills regional shopping mall north of Calgary, on the major highway connecting Calgary and Edmonton. It is ideally positioned to get to the markets of north and northwest Calgary, both of which do not have a casino. We are more excited than ever about this project and about what it will do to grow our top and bottomlines. Two weeks ago we announced a project in Argentina. We acquired a 7.5% stake in a company called MCE for $1 million and we also got a three-year option to increase our stake to 50% at a price equal to 5x EBITDA minus debt. MCE has the exclusive long-term concession agreement to lease slot machines and provide technical services to the casinos at Mendoza, which is owned by the Province of Mendoza. Currently, MCE has placed 600 slot machines at that casino and in return receives 43% of the revenue generated by the slot machines. Our partners in MCE are affiliates of Uno Medios, one of Argentina's largest multimedia companies dedicated to television, radio, cable TV, internet and digital media. Argentina has a population of 41 million, approximately 27 million internet users, and rapidly increasing broadband penetration and is one of the largest Spanish-speaking gaming markets in the world. Similar to the U.S., there is no standardized set of gaming legislation at the federal level, but the Provinces have the authority to regulate and control gaming activities. Our goal with the MCE transaction is to grow in the land-based and possibly also in the online gaming industry in Argentina as well as throughout Latin America. We have also entered into a Consulting Services Agreement with MCE, which pays us a fixed monthly consulting fee, plus a percentage of MCE's EBITDA. I'm concluding this presentation with a few comments to our balance sheet. On a consolidated basis, we continue to keep a clean and strong balance sheet, which as of September 30 show the $27.3 million in cash and cash equivalents and $38.6 million in outstanding debt. The debt includes $17.4 million related to a long-term land lease for Century Downs, $13.8 million related to our credit agreement with Bank of Montreal and it includes $7.4 million related to Casinos Poland. In the quarter, and excluding the construction spending for Century Downs, total CapEx was $6 million or 4.4% of revenues. Book value per share is at $4.92. With that, I thank you for your attention and open the floor to questions. Operator, go ahead please.
Operator: [Operator Instructions] The first one comes from the line of Arnie Ursaner from CJS Securities.
Arnie Ursaner - CJS Securities: I have a couple of questions related to Poland both in Q3, but more importantly looking forward. Obviously, the Ukraine did have an impact on you in the quarter. Could you give us a little better feel for the pattern of traffic overall in Poland in the quarter? The incremental marketing expenses you may have incurred in Poland? And the shift in marketing expenses you have in Poland? And I'll follow that up with a few additional questions, if I can.
Peter Hoetzinger: We have different customer segments in Poland. We have the local slot customer, we have the local table customers, we have the business tourists from Germany, and then in the other we have some guests from the Middle East and some times we have some high-rollers from Russia. And some are falling away, because of the Ukraine, but it is overall a very competitive situation, because other casinos in Poland are also going after the same market. So we have to up our marketing expenses. That's just an overall picture. But I'll hand it over to Erwin maybe you can add a little more color of it.
Erwin Haitzmann: Yes. In addition to what Peter said, this was happened in during the course of the last 12 months, in particular one of our competitor is also targeting for the higher end of the market, and puts in quite a significant amount of marketing expenses behind his efforts. And it is so high that we don't think it's sustainable on this, but it brings us to the question, do we do the same or do we not. And in the third quarter, we did not as much as our competitor did, but at least a good portion. But in the fourth quarter we have decided to pullback a little bit, and not give away that much, but rather continue to market our casino on the strength of our services in the casinos. So rather than giving away a huge number of cost, we focus on the customer experience when they are at our casinos.
Arnie Ursaner - CJS Securities: So just to clarify, you mentioned October had an exceptionally strong results and I think you said the highest revenue you've seen in that market. I just want to clarify, was that in fact correct on the revenue side? And then the margin of 19% is extraordinarily high. We've modeled something like 13% for next year. Is the number like 19%, is that a number that you believe is sustainable?
Erwin Haitzmann: It's very hard to say, probably not in the short-term. I think you should rather -- we think when the numbers are out, you probably should look at the third and fourth quarter combined. What we have seen is that the high-end player's pattern is irregular. Some times they came more to us, some times they go more to the competitors. What has happened is that a few of our high-end players have visited us in the third quarter, but they all came in October. So from that angle, it's not typical and I think should rather average out.
Arnie Ursaner - CJS Securities: Just my final question. You have had stated probably go to double margins in Poland by the end of '14. You moved it out to mid '15. Is that still your expectation?
Peter Hoetzinger: When the EBITDA margin was in the 8% or 9% range, we have said that our goal is to double the margin, and that is still, so yes. And always it's a very good indication, but yes, mid '15 that's certainly our goal, absolutely.
Operator: Your next question comes from the line of Bryan Maher from Craig-Hallum Capital.
Bryan Maher - Craig-Hallum Capital: In the EBITDA breakout by property that there was some currency impact, but I also noticed on the 10-Q, on Page 7, a foreign currency translation adjustment of $3.65 million and when I look at what the zloty and the Canadian dollar did in the quarter against the U.S. dollar, they were down fairly meaningfully. Can you give us some commentary on how you look at the impact of currency on the quarterly earnings report?
Erwin Haitzmann: Yes. I'll pass that on to Maggie please.
Margaret Stapleton: The impact of foreign currency for this quarter on the earnings is about $375,000. $320,000 of that is related to Poland. What are you looking at on the comprehensive earnings statement is the foreign count currency movement on the balance sheet of $3.7 million from yearend.
Bryan Maher - Craig-Hallum Capital: And then as it relates to, the previous caller addressed a lot as it relates to Poland, but you also had some commentaries related to, I believe it was in your Q on the potential for moving further side in Poland. Can you tell us how you and the board are looking at that? And should we expect maybe one more move, maybe two more moves and when might that happen?
Peter Hoetzinger: At this point in time either no more moves or possibly one within the next two years. But at the moment, I would rather say, it's more likely no more changes.
Bryan Maher - Craig-Hallum Capital: And so that being said, I guess we shouldn't be seeing much in the way of kind of these one-time items that we saw kind of in the second quarter. I know you don't back out one-time items from your reported EBITDA, but we do pay attention to those. So as far as one-time as items in Poland goes for the next year or so, they should be I would guess somewhat de minimis. Is that correct?
Peter Hoetzinger: No. We don't see anymore.
Bryan Maher - Craig-Hallum Capital: And then lastly, the Sosnowiec, can you give us an update on what your thoughts are with that property? I know it was shut predominantly or recently. Can you tell us how you think about that property going forward?
Peter Hoetzinger: It's not shut close for [ph] unlimited time, it will be open again. And that the main issue there is whether the illegal casinos, the illegal slot casinos will continue to be present there. Unfortunately, the country is not as expected, as we would wanted to be in closing illegal casinos, something that we certainly could not foresee. And that hits us negatively in Sosnowiec.
Bryan Maher - Craig-Hallum Capital: And just one more if I may, plus would you moved into a much better location in the spring. Can you give us an update on how that property is doing?
Erwin Haitzmann: It's doing wonderfully well. Although, it's not such a large property, but it sometimes number three on the list of performance when it comes to EBITDA and net income, a very favorable and good.
Operator: And there are no further questions at this time. I'll turn the call back over to you.
Peter Hoetzinger: Thank you, everyone, for your interest in Century Casinos and your participation in the call. For a recording of the call, please visit the Financial Results section of our website at cnty.com. We look forward to getting together with you again for our fourth quarter and yearend earnings call in March of next year. Good bye.
Operator: This concludes today's conference call. Thank you for attending.